Operator: Greetings, and welcome to the Chatham Lodging Trust Fourth Quarter 2024 Financial Results Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Chris Daly, President of DG Public Relations. Please go ahead. Thank you, Melissa.
Chris Daly: Good afternoon, everyone, and welcome to the Chatham Lodging Trust Fourth Quarter 2024 Results Conference Call. Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown, as described in our most recent Form 10-Ks and other SEC filings. All information in this call is as of February 20, 2025, unless otherwise noted, and the company undertakes no obligation to update any forward-looking statements to conform the statement to actual results or changes in the company's expectations. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced in this call on our website at chathamlodgingtrust.com. Now to provide you with some insight into Chatham's 2024 Fourth Quarter results, allow me to introduce Jeff Fisher, Chairman, President, and Chief Executive Officer; Dennis Craven, Executive Vice President and Chief Operating Officer; and Jeremy Wagner, Senior Vice President and Chief Financial Officer. Let me turn the session over to Jeff Fisher. Jeff?
Jeff Fisher: Alright. Thanks, Chris. And I certainly appreciate everyone joining us here for our call today. Before talking about the fourth quarter specifically and our outlook for 2025, I'd like to spend just a few minutes highlighting some noteworthy accomplishments as we look back at the last year. We had RevPAR growth of 3%, exceeding expectations. We continue to be aggressive in generating profits outside the room division, and we were able to drive other departmental profits 8% higher this year. After growth of 25% last year, we generated GOP margins of 43%, minimizing the year-over-year margin decline to 70 basis points. As RevPAR growth expanded, we closed out the year with 150 basis points of margin expansion in the fourth quarter. We sold or are under contract to sell six hotels averaging 24 years of age and with a RevPAR of $98, way below our average, for net proceeds of $101 million at a pro forma capitalization rate of approximately 6% when you include the foregone capital improvements. In 2024, we repaid $297 million of maturing debt and reduced our net debt by $29 million in 2024 after reducing net debt by $26 million in 2023. We finally completed our multiyear balance sheet repositioning through the issuance of equity, debt, and asset sales, and reduced our overall leverage ratio to 23% from 25% a year ago, and importantly, down from almost 35% in 2019. I'd say that's quite an accomplishment, particularly during this period of time. Finally, we did participate in the Global Real Estate Sustainability Benchmark (GRESB) for the third time, achieving a GRESB score of 83, earning four out of five GRESB stars, and awarded the Green Star. We did return $22 million of dividends to our preferred common shareholders out of excess cash flow, and we look forward to this year in an environment where if we can achieve similar kinds of RevPAR growth, we look at our margins really back at what have always been the industry-leading EBITDA margins of all the select service hotel REITs. Our RevPAR growth has beaten industry performance for three consecutive years, and by far, we've got the highest RevPAR of all select service lodging REITs, demonstrating the high quality of our portfolio and the markets we're in. As most of you know, our success is more reliant on the health of the business traveler, and business travel demand continues to grow. In 2024, we saw the health of the business traveler really show up in the nonseasonal month RevPAR growth numbers. Other than March, which was impacted by religious holidays, RevPAR growth was over 5% in April and May, 4% in September, and almost 7% in October. The November to February months are slower BT and leisure months, but on average, our RevPAR growth was about 3% in those months. During the heavy leisure months, interestingly enough, of June through August, our RevPAR growth was about 1%, which reflects the softening leisure travel offset by the higher and healthier business travel during those other months and even during those months. Turning our attention to the fourth quarter, which was a great quarter by all metrics, our RevPAR growth of 4% again beat industry performance and most peers' performance. Also, we increased our operating margins by a strong 150 basis points as labor and benefit costs continue to moderate at low single-digit levels. Again, this moderation is different than a lot of our full-service peers who are facing much more pressure given their presence in larger markets and reliance on union labor. As a result of great operating performance, we were able to comfortably exceed the upper end of our guidance range and consensus estimates. Additionally, if you look at our largest markets, RevPAR grew in six of our top eight markets, with our New York area hotels flat to last year and only Dallas declining. But Dallas's decline is really due to the fact that our hotel is next door to the convention center, which is mostly closed and undergoing major expansion over the next 24 months. When you exclude Dallas, average RevPAR growth was approximately 7% across our top markets. Leading the way were our technology-dependent markets, and the underlying strength in these markets is encouraging as we move forward into this year. RevPAR growth at our four Silicon Valley hotels was up 14% in the quarter after posting 14% growth in the 2023 fourth quarter. The Bellevue market RevPAR was up 9% in the quarter. I utilized the market here because our Bellevue Residence Inn was under renovation during the quarter. Chatham has the highest exposure to big tech hotel demand, whether that's in Silicon Valley, Bellevue, or Austin. Tech investment, particularly around AI, chip processing, and next-gen technology, is rapidly expanding, as we've all seen even just this past week. For example, Apple has announced a massive $500 billion further investment in the US over the next five years, with many of the markets that we have hotels in certainly bound to benefit as that manufacturing and other business expansion continues. On the operations front, we're really pleased and encouraged by our ability to drive revenue growth to the bottom line as we pushed our operating margins 150 basis points higher to 41%, the highest fourth quarter operating margins in three years. Our expense controls were really locked in, especially regarding staffing levels and wage growth. As we've stated the last few quarters, for us, and this is an important distinction, we've been the beneficiary of moderating wage pressures. On a per occupied room basis, growth in labor and benefits was less than 1% year over year in the quarter. If you just consider only wages, on a per occupied room, they were down year over year. As we close out 2024, we're in great financial position, having delevered over the past few years through the opportunistic sale of hotels. Now, considering our lowest leverage levels in over a decade, we've got the ability, therefore, to grow in several ways. Of course, most importantly, through the outperformance of our existing portfolio, especially given that our largest assets have exhibited the strongest top-line growth in the portfolio. Second, we do expect to commence our Portland, Maine hotel development later in the year. This looks like a very profitable investment and return for sure. Lastly, we are, of course, still seeking hotel acquisitions. We've got the financial ability to grow. As I've said, we have successfully or will successfully complete the sale of the five hotels. Our leverage levels are very low. I'm confident in our future to continue to grow this company and RFFO, particularly this year. We can grow accretively to move the needle here at Chatham. It doesn't take meaningful investment dollars, and the long-term fundamentals are favorable as new supply is less than 1% across our portfolio, and further increases in new supply are going to be muted given that most new construction is too expensive and the returns, particularly in the markets that we operate in, certainly don't appear to warrant the risk. We've emerged from a slew of maturing debt in a financially strong position, and operationally, I think we should continue to outperform the industry and many of our peers. So our ability to increase incremental free cash flow should enable us to return more money to our shareholders moving forward. With that, I'd like to turn it over to Dennis.
Dennis Craven: Thanks, Jeff. Good morning, everyone. Just a quick update on the hotels to be sold. As Jeff talked about, we have two remaining of the five that are expected to close by the end of the first quarter. The five hotels are among the six lowest RevPAR hotels in our portfolio that we have sold and are under contract to sell. We believe the best value creation is to sell these hotels instead of investing incremental dollars without what we believe is much incremental return, and reinvest that money into higher-yielding, higher-margin, and higher-growth assets. With respect to our fourth quarter results, a few extra tidbits. RevPAR at our seven predominant leisure hotels, and our leisure hotels comprise approximately 20% of our fourth quarter EBITDA, increased 1.4% in the quarter. But when you take out our Spring Hill Suites in Savannah, which was under renovation for most of the quarter, RevPAR was up approximately 6% for our leisure hotels, with our Fort Lauderdale Residence Inn, our Hampton, Portland, and our Hyatt Place Pittsburgh all producing double-digit RevPAR growth in the fourth quarter. Our top five RevPAR hotels for the quarter were the Residence Inn Fort Lauderdale with RevPAR of $208, second was our Residence Inn White Plains, with RevPAR of $196, and then our Hampton Inn Portland and Residence Inn San Diego Gas Lamp, both with RevPAR of $180. Lastly, our Residence Inn New Rochelle, New York, at $176. Over a third of our hotels experienced double-digit RevPAR growth in the quarter. Excluding the five tech-driven hotels, fourth quarter RevPAR was up 3% over last year, further supporting the breadth of our RevPAR performance and trajectory. Breaking down our Silicon Valley hotels, underlying demand growth remains strong. Our Silicon Valley fourth quarter occupancy of 74% marks the highest occupancy levels since 2015. Our two Sunnyvale hotels experienced RevPAR growth of 16% in the quarter, and that includes a 14% increase in occupancy, again, proving out the surge in business demand in Sunnyvale. Our San Mateo Residence Inn had a great quarter, with RevPAR growth of 19%, with occupancy finishing the quarter at 81%. Lastly, RevPAR grew 5% at our Mountain View Residence Inn. On a portfolio basis, including all hotels owned during the quarter, operating margins were up 150 basis points, and hotel EBITDA margins were up 90 basis points. At our 36 comparable hotels, operating margins were up 110 basis points, with EBITDA margins essentially flat. Our biggest expenses by far are labor wages and related benefits. These expenses account for approximately 40% of all operating expenses. We've been able to maintain our headcount essentially flat the entire year despite occupancy rising 300 basis points in the quarter and 200 basis points for the full year. Additionally, our fourth quarter average wage was up just about 3% over last year. This increased efficiency has enabled us to actually reduce wages on a per occupied room basis by 2%. Offsetting a bit of this were increased payroll-related costs such as medical insurance, workers' compensation, and vacation, which were up 19% in the fourth quarter and almost 25% for the entire year. The good news is that 2025 premiums for not only our medical insurance but also our workers' compensation are essentially flat compared to last year. In the quarter, property insurance was up, and for the year, it was up approximately 15%. But, again, the good news is that our 2025 renewal for property insurance is down approximately 13% over 2024 levels. Our top five producers of GOP in the quarter were led by our Residence Inn Gaslamp with $2.3 million, the twelfth straight quarter it's led our portfolio. Second was our Sunnyvale 2 Residence Inn, with GOP of almost $2 million, and rounding out our top five producers were our Embassy Suites Springfield and two of our New York Residence Inns in White Plains and New Rochelle. Again, I would just add, if you look at the geographic production of those top five, you essentially have one in Silicon Valley, one in San Diego, one outside of DC, and two in the Greater New York area. So, again, broad demand is showing up across the country in our portfolio. On the CapEx front, we spent approximately $6 million in the quarter. We commenced renovations on three hotels that were completed either in the fourth quarter or will be completed early in the 2025 first quarter, and that includes renovations in Savannah, Bellevue, Washington, and the Hilton Garden Inn in Portsmouth, New Hampshire. Our CapEx budget for 2025 is approximately $26 million, which includes three renovations with a cost of approximately $16 million. The three hotels scheduled for renovation in 2025 are the Hilton Garden Inn Portsmouth during the first quarter, the Residence Inn Austin, Texas, and the Residence Inn Mountain View during the fourth quarter. With that, I'll turn it over to Jeremy.
Jeremy Wagner: Thanks, Dennis. Good afternoon, everyone. Our Q4 2024 hotel EBITDA was $24.3 million, adjusted EBITDA was $21.4 million, and adjusted FFO was $0.20 per share. We were able to generate a GOP margin of 40.5% and hotel EBITDA margin of 37.5%. GOP margins for the quarter were up 150 basis points from Q4 2023, which was due to the strong 3.9% RevPAR growth for the quarter and outstanding expense control. This improvement in year-over-year margin trends relative to prior quarters reflects the continuing stabilization of key expenses, especially labor costs. Over the past couple of years, we have taken significant steps to reduce leverage and address debt maturities. With the repayment of the $16 million mortgage loan on the Hampton Inn in January 2025, we have now addressed all of our CMBS maturities. In Q4, we closed on the sales of the Homewood Bloomington and Homewood Maitland for $29.3 million. In January 2025, we closed on the sale of the Homewood Brentwood for $15 million. The aggregate sale price for these three hotels, including approximately $15 million of required renovation costs, represents a cap rate of approximately 6.3% on 2024 NOI. As of December 31, Chatham's net debt to LTM EBITDA was 3.9 times, which is significant compared to the 6 times area. Turning to our Q1 and full-year 2025 guidance, we expect RevPAR growth of 3% to 4%, adjusted EBITDA of $16.7 million to $18.3 million, and adjusted FFO per share of $0.12 to $0.15 in Q1, and RevPAR growth of 1% to 3.5%, adjusted EBITDA of $92 million to $97 million, adjusted FFO per share of $1.01 to $1.11 for the year. This guidance reflects the sales of the Homewood Bloomington, Homewood Maitland, and Homewood Brentwood in December 2024 and January 2025 and assumes two additional asset sales with a combined sale price of $39 million closed at the end of the first quarter. In aggregate, the net impact of these five asset sales on our expected 2025 EBITDA versus reported 2024 EBITDA is approximately $6.8 million. Assuming the proceeds from these asset sales are used to repay bank debt with a cost of 5.9%, the impact on expected 2025 FFO per share versus our actual 2024 FFO per share is approximately $0.05 per share. While our guidance does not reflect any acquisitions, our plan is certainly to reinvest the sale proceeds and foregone capital requirements from asset sales into accretive acquisitions, which should fully offset the lost FFO from the asset sales. Our room count reflecting these completed asset sales is expected to be 5,475 in Q1 and is expected to be 5,168 for the remainder of the year, which assumes the close of the two pending asset sales at the end of Q1. Reflecting our recently completed and pending asset sales, our 2024 RevPAR would have been $122 in Q1, $156 in Q2, $155 in Q3, $133 in Q4, and $142 for the full year. This concludes my portion of the call. Operator, please open the line for questions.
Operator: Thank you. If you'd like to ask a question, please press *1 on your telephone keypad. Our first question comes from the line of Gaurav Mehta with Alliance Global Partners.
Gaurav Mehta: Thanks. I wanted to ask you about some of your comments around asset recycling and wanted to get some more color on your expectations around redeploying that capital into the acquisition market. I know you mentioned there's no acquisition included in the guidance, but I was hoping to get some more color on what you were seeing in the market, maybe on the volume, pricing.
Jeff Fisher: Yeah. Gaurav, it's Jeff. How are you today? I guess the way to characterize the acquisition market, at least for what we're seeing and for what we want to buy, is it's still pretty thin out there. For the really, really good assets in the kind of markets we want to be in, there's still a 100 basis point, let's say, bid-ask kind of gap. But I will tell you that we've kind of redoubled our efforts in terms of really wanting to get replacement assets for these five hotels that we've successfully sold or will have sold shortly. I feel pretty confident that we'll get that done this year. I don't think we'll get it done in the first quarter of this year, but it's really just sort of ferrying through and talking to prior folks that we've done business with and otherwise to try to find onesie-twosie deals, which is probably the way it'll occur as we move forward.
Gaurav Mehta: Okay. Thank you. Thanks. My second question is on your comments around starting a development in Portland, Maine. I was hoping to get some more color on that asset, where you're looking to construct, maybe on your yield expectations for development.
Jeff Fisher: Yeah. I mean, we certainly look for a 150 to 200 basis points premium over, let's say, the 8 cap number that you might be able to acquire existing hotels for. The Portland, Maine, Hampton Inn is, you know, and has been our highest RevPAR hotel for several quarters. We're pretty excited about the continued growth in the market. The City of Portland has recently enacted a hotel moratorium. We are grandfathered in because of the application that we have pending for entitlement. So we still have, and we've talked about this for probably what I say is too long for two years, but it is that kind of market, you know, in the downtown waterfront district to build on our parking lot next to our existing Hampton Inn, I think, will certainly be very accretive if and when we get there, but we're still working with the city and with our engineers on getting this thing entitled. Yeah. Gaurav, I think the only thing I would add is that just to add on from Jeff's comments is that, you know, that Hampton in Portland for us has really been the highest yielding asset for us over the last, essentially, ownership period since 2012 when we bought it. Great market. Moratorium helps, and we feel pretty good about it.
Gaurav Mehta: Okay. Thank you. That's all I had.
Jeff Fisher: Thank you.
Operator: Thank you. Our next question comes from the line of Ari Klein with BMO Capital Markets.
Ari Klein: Thanks. There was a pretty sizable disparity in occupancy performance versus ADR in the quarter. Curious just what drove that dynamic, and then are you thinking about the ability to push rates with occupancy improving?
Dennis Craven: Hey, Ari. This is Dennis. Yeah. Listen. I think, you know, the one thing that, and we kind of highlighted in our comments, is that, you know, overall, just demand from business travel is really the driver of that continued occupancy growth. In certain markets, whether that's Silicon Valley or other markets, you really need to get, you know, into the seventies and into the eighties to be able to have pricing power. So, you know, for us, we're really encouraged by the overall trend and just the overall demand growth in some of our major markets. Generally speaking, ADR is a lagger to that. So it really, you know, I think, you know, just positive about where that's heading.
Ari Klein: Got it. That's helpful. And then maybe on the RevPAR guide, you know, purely widespread for the full year. Curious if you can provide some color just on some of the underlying assumptions at the high and low end of the range. Is there any reason to think the tech or interim business this year will play out differently from last year?
Dennis Craven: What your last bit of that question was tech? Tech insurance. The interim business versus last year. Yeah. I mean, I think, listen, you know, we're taking a pretty cautious look as far as our overall guidance range of 1% to 3.5%. We're encouraged by what January did with RevPAR up 5%. February is doing well as well. I think, you know, what Jeff highlighted in his comments, and if you look at kind of our monthly RevPAR production, is that, you know, the summer months, especially in 2024, as he talked about, kind of showed, you know, an offset of leisure losing BT gaining. I think whether leisure is, you know, bottomed out or is bottoming out kind of as an industry, I think it's too early to tell. But I think, you know, we're going to be cautious about those outer months. It feels good at the moment. With respect to interns, listen, we, you know, I think as we talked about last year, we lost a lot in a majority of that business in 2024 because most of the tech companies went to a program where they were giving stipends out for any type of intern, and they could put, you know, as many people as they wanted to in a room, in an apartment, or whatever it might be. So we really didn't get much intern business in 2024. We don't have, you know, we're kind of have similar levels baked in for 2025. Obviously, if something somehow changed, that would be great. But, you know, I think that stipend program is probably going to stick.
Ari Klein: Got it. And maybe just one last one, just in terms of, you know, the transactions that you seem likely to pursue in 2025. How much dry powder do you think you have? Or I guess, maybe how active do you think you'll be?
Jeremy Wagner: Yeah. Jeremy, you want to talk about the balance sheet? Yeah. I mean, from a dry powder perspective, I think we could easily buy a couple hundred million dollars of hotels or, you know, hotels and development, other investments, and still be within the leverage parameters that we feel comfortable with. You know? I don't know if it will be possible to, you know, in one-off transactions, be able to buy $200 million of hotels this year, given how selective we are and the strict underwriting criteria that we have, but we definitely have balance sheet capacity to do quite a bit relative to our existing size.
Ari Klein: Got it. And is the Portland development in the $26 million of CapEx, or is that separate?
Dennis Craven: No. No. It's not. I mean, I think, you know, listen, we're still working through city approvals. I think if we ultimately get those in the next, you know, several months, you're probably talking about starting, you know, site work later this year. So any actual cash dollars out the door would be pretty minimal in 2025.
Ari Klein: Got it. Alright. Thank you.
Dennis Craven: Thanks, Ari.
Operator: As a reminder, if you'd like to ask a question, please press *1 on your telephone keypad. Next question comes from the line of Jonathan Jenkins with Oppenheimer and Company.
Jonathan Jenkins: Good afternoon. Thank you for taking my questions. First one from me is a follow-up or a clarification question on the guidance. Given that previous commentary, it sounds like we should expect the majority of RevPAR growth this year to be driven by occupancy, and then that recompression component becomes a greater possibility in out years. Is that a fair read-through on that?
Jeremy Wagner: I think in our forecast, we have our RevPAR growth kind of built about half between occupancy and half between ADR. So we're still expecting some ADR growth even though Q4 was really all the growth was driven by occupancy. That's because of the nature of the seasonality of the portfolio and the hotels that we're talking about. But, you know, we'll get ADR growth in those summer months and in those heavy October, for example, business travel months for us.
Jonathan Jenkins: Okay. That's very helpful. And then switching gears to the capital recycling front, you guys have obviously done a tremendous job. Are there any additional assets that could be potential targets for dispositions? Conversely, are there any markets that you like to enter, or is your preference to grow in the markets you're already in? Should we expect a continued BT demand driver focus for potential acquisitions?
Dennis Craven: I think for us, BT and business-focused hotels and extended stay hotels, you know, is where we live, and we feel very comfortable and bullish about that part of the business. So I think we want to be opportunistic given the amount of dry powder that we have, as Jeremy indicated. So I think our, you know, we've kind of got an open view in terms of markets beyond markets that we're already in. So I would expect that we will, you know, just take a real hard look at many different opportunities as we try to move forward and redeploy some of the money that we've got here. Yeah. I think the only thing I would add is with respect to dispositions. Yes. We will continue to look at our portfolio and, you know, analyze it for any type of opportunities of selling assets. But I think what you will see, you know, from Chatham is, you know, continued recycling of older assets with, you know, higher CapEx spend requirements into, you know, newer, higher growth investments over time. So certainly, we'll look for that. That's the goal.
Jonathan Jenkins: Okay. That's excellent. Thank you for all the color, everybody. That's all for me.
Operator: Thank you. Our next question comes from the line of Manish Modi with Millennium. Please proceed with your question.
Manish Modi: Yes. Good afternoon. Thank you for your time. I just have a couple of quick questions. One is just to get a sense of any impact on the Los Angeles area with the properties with all the wildfires. That's the first one. The second one is, as an investment portfolio, we have been looking at the performance of your stock, and I'm sure you all do too. There's been literally, you know, no upward movement at all, at least over the last twelve to eighteen months. How do you look at the valuation that the market, of course, you don't control it, but how do you visualize the market valuation for your stock?
Dennis Craven: Hey, Manish. This is Dennis. I'll answer the first part of it. We had, you know, thankfully, we had no physical damage to any of our assets related to the fires in Southern California in the LA area. We have three hotels in the area. Our Home2 Suites in Woodland Hills has been the beneficiary of a lot of, whether it's displaced residents or people affiliated with insurance companies there. That is benefiting the hotel. The other two hotels are Hilton Garden Inn Marina Del Rey and our Residence Inn in Anaheim. So, kind of an initial pop right after the wildfires, but really have kind of settled back into normal business, if you will. So, you know, really, we had one of the three hotels that benefited.
Jeremy Wagner: And then on the stock price here, I'm going to let Jeremy, our expert on that, opine. Look. It would always be nice to have your stock valued higher and to appreciate. Obviously, there have been headwinds over the last few years in terms of, you know, expense increases across the sector and cost of capital across the sector. I think if you look just on a relative valuation basis, on a price to FFO basis, I think we're roughly in line with most of our peers. We may be at a little bit of a discount on an EV to EBITDA basis. I think a lot of that's probably due to the fact that we've refinanced a lot of our debt. We've reset the pricing on a lot of our debt. So all of our debt is sort of market-priced, you know, which is more expensive than people who have legacy fixed-rate debt in at 4%. All of our debt's kind of in that, you know, 6.5% to 7% range right now. So there's a higher interest burden, you know, so that's reflected in our FFO. It doesn't impact the EBITDA, which is probably why we're really right in line with peers on an FFO basis. EBITDA's a little bit of a discount. But, again, there's a higher interest cost. Hopefully, you know, over time, the EV to EBITDA gap will shrink relative to any peer multiples as they kind of refinance their balance sheets as well. The other part of it, I would say, is I still think, and we've heard from some investors, that Silicon Valley, you know, we keep coming back to it, but it is a major portion of our portfolio, obviously, you know, is a question mark for the company. Even in our guidance for the year, it's very difficult for us and our operators who have lived and breathed in that market in some cases for over twenty years to put your finger on what kind of RevPAR increase and what kind of return to our 2019 EBITDA levels and RevPAR levels we're going to get there. I think that keeps sort of a lid on our share price until we really have sort of what I would characterize as double-digit RevPAR growth quarter after quarter for, you know, a couple of years in a row here that we feel is pretty consistent as we look forward. Be able to get those numbers back to, you know, some level as to where they were. So look, we're certainly encouraged by what we see and what we talked about on our call for the fourth quarter. Our January and February numbers out there, particularly given January and February seasonality of being very little real BT travel, are pretty darn strong as well. So we'll continue to have our focus and our operating team and our sales teams out there, you know, doubling down on the efforts to make those hotels fly. With our ability and our operator's ability to float the incremental revenue at levels that are, you know, in some cases, well over 50%, I think we can get the FFO and the EBITDA and therefore the share price moving again.
Manish Modi: No. I appreciate it. I mean, you certainly delevered the balance sheet substantially over the last couple of years. However, you know, it's interesting that when you look at it, your RevPAR growth in Silicon Valley has been in double digits compared to last year, but your RevPAR growth in Dallas and the Seattle markets, however small they are as contributors, they seem to be more negative. So it's interesting you made that, you know, that point across.
Jeff Fisher: Well, Dallas, as I mentioned, has been a great performing hotel for us in that downtown market. If that is not more, frankly, than the convention center being, you know, and most conventions sort of for the next couple of years, being nonexistent in that market. I know that in 2024, we substantially exceeded the operator budget for 2024, you know, because starting in, I think it was March or April, we took the numbers way down, and we still, you know, because of what's happening generally in Dallas, and the quality of that hotel and its location sort of outperformed the budget numbers. But, you know, it's still going to come on a difficult basis. Bellevue, Dennis, purely renovation there. That should be finished, what, the next we're going to see it next week. Right? In about, you know, so that should be done here. Again, a tech-heavy and reliant, but you got, you know, those players, you know, back to the office even, I think, you know, with a declaration being a little bit sooner than some of the Silicon Valley companies. Bellevue as a submarket really strong and benefiting over downtown Seattle. When you look at, but if you look at the STAR, Smith Travel numbers for the market anyway. Yeah. I think the only thing I would add regarding Silicon Valley is, yes, we've had a good run here, and we're confident and we're optimistic about where we see 2025 out there. But you should still take a, you know, take a look at the table in our release that compares it to 2019 levels. RevPAR for those four hotels is still over 20% short of 2019 levels. So there's still a good ways to go, and I think a lot of our investors who know us well and have known us well, you know, we got to get a little bit more out of there to really, you know, start pushing that number to the bottom line. Especially when it comes to ADR, as we were talking about on a prior question, and the incremental flow that comes from high ADR.
Manish Modi: I certainly appreciate it. I mean, you all are certainly vested into the ownership of Chatham Lodging Trust. It was interesting that, but Howard, as I part, I just had made one observation, which is that there were two filings from BlackRock that happened literally two days of each other. The most recent filing showed a reduction of about five or six of the ownership literally within the span of two days. Just didn't know if you're aware of something substantially that happened would reduce their ownership, I mean, by a few million shares.
Jeff Fisher: We saw those same filings. You know, I think we don't have any active dialogue with them whether that was a mistake or something else. Not sure. But they bought a bunch and then sold a bunch. Right? Something like that. Yeah. We don't but we don't know.
Manish Modi: Okay. Thank you very much for your time and patience with the questions.
Jeff Fisher: Thank you.
Operator: Thank you. Mr. Fisher, there are no further questions at this time. I'll turn this call back to you for final comments.
Jeff Fisher: Well, we certainly appreciate the questions and everybody's attendance this morning. So let's continue to sit tight here and have this quarter evolve, and we will continue to, I think, put up some pretty strong numbers and, you know, work on growing our free cash flow in 2025. Thank you.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.